Operator: Good day. And welcome to the Q2 2014 Innospec Earnings Call. Today’s conference is being recorded. At this time, I would like to turn the conference over Mr. David Williams, General Counsel. Please go ahead, sir.
David Williams: Thank you, and good morning, everyone. My name is David Williams, and I’m Vice President, General Counsel and Chief Compliance Officer at Innospec. Thanks for joining our second quarter 2014 financial results conference call. Today’s call is being recorded. As you know, late yesterday we reported our financial results for the quarter ended June 30, 2014. The press release is posted on the company’s website www.innospecinc.com. An audio webcast of the call and the slide presentation on the results are also now available and will be archived on the website. Before we start, I would like to remind everyone that certain comments made during this call might be characterized as forward-looking statements under the Private Securities Litigation Reform Act of 1995. Generally speaking, any comments regarding management’s beliefs, expectations, targets or other predictions of the future are forward-looking statements. These statements involve a number of risks and uncertainties that could cause actual results to differ materially from the anticipated results implied by those forward-looking statements. These risks and uncertainties are detailed in Innospec’s most recent 10-K report, as well as other filings we have with the SEC. We refer you to the SEC’s website or our site for these and other documents. In our discussion today we have also included some non-GAAP financial measures. A reconciliation to the most directly comparable GAAP financial measures is contained in our earnings release and in the presentations that follows, a copy of which is available on the Innospec website. With us today from Innospec are Patrick Williams, President and Chief Executive Officer; and Ian Cleminson, Executive Vice President and Chief Financial Officer. And with that, I will turn it over to you, Patrick.
Patrick Williams: Thank you, David. And welcome all of you to Innospec second quarter 2014 conference call. Overall this was a good second quarter for Innospec with continued strong showing from Fuel Specialties, particularly in the Americas and an impressive 33% year-over-year gain in Performance Chemicals. In total, the company delivered revenue growth of 20% year-over-year and maintained gross margins within our targeted range. We delivered adjusted diluted earnings per share of $0.77 and we are particularly pleased to report another quarter of strong EBITDA performance. This indicates that our business and financial strategies are working according to plan. Our core businesses are in excellent shape and we feel positive about the remainder of the year. Fuel Specialties, as I said has maintained its growth momentum, despite economic swings in various parts of the world and for the quarter advanced 15% over last year. This was principally the result of strong performance in the Americas by both the core fuels business and by Bachman, which continues to expand its footprint in oilfield specialties market. Despite a weaker performance in some of our underlying businesses, our gross profit in Fuel Specialties grew 8% quarter-over-quarter. In contrast, our EMEA performance in Fuel Specialties weakened after a strong run, European market has been adversely impacted by the geopolitical situation in Russia and Ukraine. You will be well aware that we have invested in these territories and we have felt the effect of the U.S. EU sanctions related to this conflict. The impact so far has been manageable, while we are monitoring the situation closely in case it deteriorates further. Meanwhile, we've made a number of customer advances in our Asia-Pacific operations and we are confident that we will be back on track in this sector for the second half of the year. Our Avtel business while relatively small delivered a strong performance in the quarter. Our Performance Chemicals business grew by 33% year-over-year driven by our Personal Care segment, which included promising sales from our new products. We were pleased by the contribution from our Chemsil acquisition, which has been well-integrated since we acquired them last year. Importantly, our underlying volumes in Performance Chemicals grew by 14% year-over-year driven by the Personal Care business, which also served to deliver an improved product mix in terms of margins. Our gross profit in this business was very solid, while operating income advanced some 20%. It is important to note that Personal Care now represents 46% of our Performance Chemicals business at Innospec. Our continued focus on this market is very much progress in line with our long-range plan, a key to our successful growth and performance in Performance Chemicals is our unwavering commitment to customer service and our innovative technology. This delivers a consistent pipeline of new products, which are developed either on our own or in partnership with our customers. In Octane Additives, as we expected, shipments resumed in the second quarter to our one remaining customer and we do expect that the remainder of the current contract will be fulfilled in the second half of the year. With the final wind down of Octane Additives in 2015, this legacy business of our predecessors will essentially be behind us. We can devote all our energies to our growth businesses, which we are developing products, which are significant environmental benefit and are representative of Innospec future. This is where the current management team and the Board are focusing our energies. I will now turn the call over to Ian Cleminson who will our results in detail. I will return with some further comments on the year as we -- as well as outlook and strategies moving ahead. Then we will take your questions.
Ian Cleminson: Thanks, Patrick. Turning to slide six in the presentation, the company’s total revenues for the second quarter were $221.3 million, a 20% increase from $185 million a year ago. The overall gross margin was 31% as our recent acquisitions contributed to strong underlying in Fuel Specialties and Performance Chemicals, Octane Additives recovered as expected. Our GAAP earnings were $0.75 per share up from the $0.71 per share reported last year’s second quarter. Our adjusted earnings increased to $0.77 per share and $0.75 per share reported a year ago. EBITDA for the quarter was $31.6 million, a 22% increase from last year. Net income for the quarter was $18.5 million. Moving on to slide seven, revenues in Fuel Specialties for the second quarter were $145.1 million, 15% higher than $126.2 million reported a year ago. The increase was primarily driven by sales growth in the Americans and by a strong contribution from the Bachman acquisition, which added 16% to revenues. By region, excluding the acquisitions, revenue in the Americas grew by 16% driven by increased sales volumes compared to a year ago. Sales in EMEA decreased by 13%, primarily as a result of weak refinery sales and impact of government sanctions on trading conditions in Russia. In Asia-Pacific sales were weak by 17% in the quarter compared to the prior year, primarily as a result of a lost contract as previously noted. Without this loss underlying sales grew by 10%. The segments gross margin was 30.3%, down from 32.1% recorded a year ago, but still within our expected range. Gross profit was $43.9 million and operation income for the quarter was $17.5 million compared to last year’s $19.2 million. Turning to slide eight, revenues in Performance Chemicals for the second quarter improved by 33% or $59.4 million, driven by continued strong underlying growth in our core Personal Care market and by 17% contribution from acquisition growth. By region, sales increased 36% in Americans, 37% in EMEA and 17% in Asia-Pacific driven by increased Personal Care volumes and richer sales mix. Gross margins improved 25.8% as Personal Care grew to almost 50% of the business. Performance Chemicals operating income for the quarter was $7.8 million, 20% higher than the $6.5 million reported a year ago. Moving on to slide nine, as we predicted Octane Additives as reported in the second quarter as shipments recommenced the last remaining customer. Net sales for the quarter was $16.8 million, 17% higher from $14.3 million a year ago. The segment’s gross margin was 56%, up from last year’s 53.1%. Operating income for the quarter was $8.3 million, a 36% increase from $6.1 million in last year’s second quarter. For the third quarter, we currently expect a slightly reduce sales performance, beyond that visibility is limited, as always we will keep you posted on developments in this segments. Turning to slide 10, corporate costs for the quarter were $7.4 million, down from $8.5 million a year ago. The decrease was primarily due to a credit of [$0.8 million] (ph) we have taken for restructuring provisions no longer required. In addition, lower legal and compliance costs were offset by higher amortization related to our new IT system. Broadly, we expect corporate cost to be between $9 million and $11 million a quarter. The effective tax rate for the quarter was 22.3% in line with our expectations for the full year. Moving onto slide 11, we closed the quarter in a net debt position of $42.1 million reduced from $43.8 million at the end of the first quarter. Net cash generated from operations was $12.9 million, compared to $19.7 million reported a year ago. As of June 30th, we had cash and cash equivalents of $97.4 million and debt of $139.5 million. And now, I’ll turn it back over to Patrick for some concluding comments.
Patrick Williams: Thanks Ian. In summary, we are pleased with the performance in the second quarter, which showed good progress despite continued economic volatility in some regions as well as disruptions caused by the sanctions relating to Russia and Ukraine crisis. Although we're not heavily exposed in these markets, we will continue to monitor the situation closely. Meanwhile the fundamentals of our core businesses remain strong and we have confidence in our prospects over the intermediate term. Our acquisitions overall is starting to contribute and deliver the plan and we continue to have high expectations for each one of them. We continue to complete integration of these businesses while aligning them with our standards and our culture. We see additional opportunities for target acquisition growth and we are prudently evaluating these as they arise. At the same time, as we have previously announced, we have expanded our banking group and we feel comfortable with the balance and strength we now have in our banking consortium. The continued strong liquidity and financial management of our business is important to us as we continue to seek further growth opportunities. Innospec is well positioned in all respects for continued growth and profitability. We very much appreciate the interest and support of our customers, our shareholders and hard work and dedication by all of the Innospec employees. Now I will turn the call to the operator and Ian and I will take any of your questions.
Operator: (Operator Instructions) We’ll now take our first question from Ivan Marcuse from KeyBanc Capital Markets.
Ivan Marcuse - KeyBanc Capital Markets: Hi guys. Thanks for taking my questions. Real quick, what is your overall sales exposure to Russia and/or total sales that are being -- could potentially be impacted by what's going on over there?
Ian Cleminson: Yeah. Hi Ivan. We have some exposure to Russia-Ukraine. It’s probably annualized round about $20 million. What concerns us just as much as the current exposure that we have is also the opportunities that we’ve got out in that region both in Ukraine and Russia for future developments of both the fuel specialties and the oilfield chemicals business. That’s the area which we’re looking up in the future, where we think we might be hit. But the current exposure will be no more than $20 million, all within the fuel specialties arena.
Ivan Marcuse - KeyBanc Capital Markets: $20 million total sales. So if those were to go to -- if everything was to go to zero, it would be a $20 million drag? That's the total exposure, to understand?
Ian Cleminson: Yeah, it’s $20 million on revenue.
Ivan Marcuse - KeyBanc Capital Markets: Got it.
Ian Cleminson: That’s correct.
Ivan Marcuse - KeyBanc Capital Markets: If you look within your fuel specialties business, is there -- what was your core total volume down?
Patrick Williams: I think the core total volume is down by about 8 percentage points.
Ivan Marcuse - KeyBanc Capital Markets: 8?
Patrick Williams: Yeah.
Ivan Marcuse - KeyBanc Capital Markets: Got you. And then if you look at -- I guess the question is, so you've been able to grow revenues nicely in your core fuel specialties. However, your profits have declined. So how do you -- was Bachman accretive and if it wasn't, why not? And then secondly, what do we have to see happen for sort of the revenues to start falling to the bottom line?
Patrick Williams: Yeah, Bachman was accretive the day we bought it. And the margins are similar in line with the fuel specialties margins. The part of the issue there, it was just really product mix in the quarter. I think as you’ll see over the next probably two to three quarters, you will see some of that profits starting to drop at the bottomline. But as you know, we have to make sure we reinvest into that business to make sure this is long-term growth, not looking at the short-term growth. And that’s been part of the process is making sure that reinvestments are for long term growth in this business to establish itself and then you'll start seeing windfall from that.
Ivan Marcuse - KeyBanc Capital Markets: So how long will that be? Is this a 2015 event? Would you expect sort of this top line strength and EBIT maybe flat to down for the next couple of quarters or do you think that reverses out?
Ian Cleminson: I think it starts reversing up, probably in the Q4. I think you’ll see a big jump in 2015.
Ivan Marcuse - KeyBanc Capital Markets: Great. And then my last question, then I'll jump off here. In your performance business you talked about personal care being 50% of revenues. And you had a nice 14% growth. Was there any sort of -- was it all new product or market share gains or was there a shipment timing that you benefited from? And then the second part of that question is, of your total EBITDA, how much would be personal care related?
Patrick Williams: Sure. I’ll take the front portion of the question. It was not just bulk shipment or one-off shipments that delivered in the quarter. It was consistently market share gain and new product technology. And to get market share gain, typically in this business you have to have new technologies and our technical group has done a very good job of that and our sales group has done a very good job of introducing it to the market. So really, Ivan, it’s been a combination of both.
Ian Cleminson: On the EBITDA, question, Ivan, yeah, personal care sales were about half of the segment. The EBITDA is a little bit higher than that because personal care tends to be a more profitable business.
Ivan Marcuse - KeyBanc Capital Markets: Great, thanks for taking my questions.
Patrick Williams: No problem.
Ian Cleminson: Thanks, Ivan.
Operator: Thank you. (Operator Instructions) We now take our next question from Jon Tanwanteng from CJS Securities.
Jon Tanwanteng - CJS Securities: Good morning guys. Nice job on the quarter.
Patrick Williams: Good morning Jon.
Ian Cleminson: Thanks, Jon.
Jon Tanwanteng - CJS Securities: Just wonder, was there an impact in Q2 from Russia and Ukraine or perhaps even Iraq? And can you quantify that?
Patrick Williams: No, there was no impact in Q2, possibly a tiny little bit. It’s really started to hit us more in Q3.
Jon Tanwanteng - CJS Securities: Okay, great. And then you had a nice decrease in the SG&A expense. What went into that? And is that sustainable on either an absolute or a percent of revenue basis going forward?
Patrick Williams: Yeah. As we said earlier on the call, Jon, there was couple of things going on there. You have the credit restriction provision that we no longer require. I think probably more importantly we have been saying this on a couple of calls now is our legal and compliance cost have started to decline and we’re certainly still about in Q3. What we are now seeing now as an additional cost is the amortization of the IT system which we recently launched in the U.S. So the legal and compliance amortization sort of net each other well. That’s why we’re saying at the corporate cost level, it’s about $9 million to $11 million a quarter depending on where we are. We’ll certainly be aiming for the middle of that range.
Jon Tanwanteng - CJS Securities: Okay, got it. And then just focusing on the chemical segment, your revenues and margins were very healthy. Can you discuss how that business is trending heading into the second half?
Patrick Williams: That’s on the performance chemical business.
Jon Tanwanteng - CJS Securities: Yes.
Patrick Williams: I think it’s probably going to be a similar type of performance in the second half. I think you’re still going to see double-digit growth and similar margins that we have today.
Jon Tanwanteng - CJS Securities: And then finally, you recently increased your credit line. Is that a prelude to more M&A activity or perhaps a future return of cash to shareholders? And perhaps related to that, can you remind us where you stand with these share repurchase?
Ian Cleminson: No, we really want to bring another back into the group that was a U.S. bank so that we could have really a global consortium and that’s really what we did. Obviously we’re looking at acquisitions, ramping that back up, now that we’ve got the integration intact and the acquisitions have proven themselves up. But it was not directly related to any acquisition whatsoever that we have in queue today.
Jon Tanwanteng - CJS Securities: And the repurchase program?
Ian Cleminson: Repurchase program, right now, Jon is we’re looking at a lot of the volatility in the market place. There will be a time when we start to file our stock back. Obviously, we think it’s a good buyback right now. I think you will start seeing at some point in time over the next few quarters as buying back our shares.
Jon Tanwanteng - CJS Securities: Great. Thanks very much.
Ian Cleminson: Thank you.
Patrick Williams: Thanks Jon.
Operator: Thank you. Our next question comes from Mr. Gregg Hillman, First Wilshire Securities Management.
Gregg Hillman - First Wilshire Securities Management: Yeah. Good morning, gentlemen. First of all, on Chemsil, in terms of how they -- you improved the operation since you bought the company, exactly how -- exactly what are you doing in terms of improving the channel distribution, bringing the products to other geographies and integrating your kind of R&D activities?
Patrick Williams: It’s a good question, Gregg. Really when we bought the business, Gregg, it had a very good management team in place already and so wasn't necessarily changing. It was giving them more products for them to add to their Q and to put into the sales process. As well as you know, the silicones can go in, in conjunction with our current product line at Innospec and that's obviously why we bought businesses because there were so many similarities in the bottle that we could do with these product line. So, I think it was expanding the global footprint. It was giving them more product lines for them to sell as well and vice versa for our current sales people in the performance chemicals business. So it was a very good match. They have a very good management team. They had a very good sales force. And really, it was just giving them more availability to more products.
Gregg Hillman - First Wilshire Securities Management: Okay, good. In terms of gas additives, you're coming out -- could you explain to me where you are in the process there and when could we expect an innovative product in that area coming out?
Patrick Williams: Yeah. I mean, as you know Gregg, we’re always looking at new product technology, especially in fuel specialties. And you're right gasoline has not been our number one focus. And I think we made the right focus with our strategy going to diesel and heavy fuel oil. But there is a -- we are looking at technologies in the gasoline additive arena, especially today with the new engine technologies that are in the marketplace. We think a standard PIB is probably not where we’re headed at this time. And I think again its still in process. And when we have something that we think is ready for market, we will make that announcement publicly.
Gregg Hillman - First Wilshire Securities Management: Okay. And finally, Ian, in terms of the cash flow, were there any like working capital changes that kind of muted cash flow growth so far this year? And would that improve on a go forward basis for the rest of the year?
Ian Cleminson: No. Gregg, it’s been a pretty, I would say pretty normalized first half of the year. We’ve got a little bit working capital through inventory as the businesses are expanding both geographically and through the development of the top line. We certainly don't have any issues with receivables or aged debts or aged inventory or anything like that. So we’re in a pretty god shape. So its just a gentle expansion as we develop the business.
Gregg Hillman - First Wilshire Securities Management: Okay. And then, Ian, can you talk about your M&A activity. Do you have, like an internal due diligence department at the company and also do you have investment banks currently engaged?
Ian Cleminson: Yeah. Gregg, we typically don't use investment banks. They do bring ideas to the table and we do look at a lot of deals. But a lot of what we have done that have been successful with our company is that we have utilized either our sales force or our business teams to bring ideas to the table because of the fact that they know the company that we’re look at, better than anybody else. We remained on that target, we remained on that path. I think we’ve done a very good job in picking what fits our portfolio the best.
Gregg Hillman - First Wilshire Securities Management: Okay. Thanks, Patrick.
Patrick Williams: Thanks, Gregg.
Operator: Thank you. Our next question comes from Mr. Chris Shaw from Monness, Crespi.
Chris Shaw - Monness, Crespi: Yeah. Good morning, guys how are you doing?
Patrick Williams: Good morning, Chris.
Ian Cleminson: Good morning, Chris.
Chris Shaw - Monness, Crespi: Just on the Asian contract you lost. I know you talked about it a little bit last quarter. But you didn't give a lot of details. I know you don't want to tell -- talk about the customer. But what was the size of that? And maybe what sort of product line or whatever information you can give, I'd appreciate it.
Patrick Williams: Yeah. We mentioned that about second quarter of 2013 that we had lost that contract, but we still we have probably replaced that volume with other businesses and other contracts that we have closed. So we do think as we stated in the conference call that we will start seeing an uptick in Innospec. If you take that contract out, Asia-Pacific grew 10%. So we’ve starting to get back into the double-digit growth that we were expected. And I think we will see that that volume will pick up over time.
Chris Shaw - Monness, Crespi: When does that roll off? When does the negative effect of losing that contract roll off, then?
Patrick Williams: Q3.
Chris Shaw - Monness, Crespi: Okay. And then the performance chemicals, the organic growth outside the acquisition looks very strong. Was that all personal care or was there any rebound in the sort of fragrance and the polymers businesses?
Patrick Williams: It was primarily personal care. Everything else was fairly flat.
Chris Shaw - Monness, Crespi: And then just curious, can you handicap maybe how soon we could see another acquisition? Are you guys -- think you're getting close or is it, you're sort of building up the pipeline again? I know you took a little time off to integrate but do you have any idea how soon that might be?
Patrick Williams: As we stated to all of our shareholders and our employees and our customers, we want to make sure that we get the integration right first and being that, we made the four acquisitions in a 16-month period. That was the primary focus for our company. Now that we've done that and we feel very confident and we’re starting to see success from the integration. We have opened the pipeline back up, it is a constant. We’ve looked at it a lot, we’ve pushed a lot out but I can't say that we have anything that's going to close either Q3 or Q4. As you can understand, it’s a fluid situation and we’ll see how things move.
Chris Shaw - Monness, Crespi: I'm just curious, though, on the -- if you're still looking in the oilfield chemicals area or services. What kind of ultimately you’ve been thinking in that sector?
Patrick Williams: Chris, it’s funny, if you look at the two primary markets that we’re in but we’re starting to see a lot of margin growth in activity and revenue growth or personal-care in oil field. And really what we’re seeing on EBITDA multiples, that out in the public domain are into that still in that 10 to 12 times. That’s steep for us. We will pay that. I think they’re starting to pull back a little now finally. It’s taken a while for that to happen. So I think you’re starting to see multiples come back in the line of where we would be looking, which is in that seven to nine range, making sure that we can deleverage and making sure that we can grow this globally.
Chris Shaw - Monness, Crespi: Great. Thanks. That's helpful.
Operator: Thank you. We now take a follow-up question from Mr. Ivan Marcuse, KeyBanc Capital Markets.
Ivan Marcuse - KeyBanc Capital Markets: Hey guys, its real quick. The contract they're replacing in Asia, is that -- the volume that you've been replacing with it, is that the same profitability level or is it lower profitability?
Patrick Williams: Well, that’s same profitability if not little higher.
Ivan Marcuse - KeyBanc Capital Markets: Okay. And then just as a quick clarifier, I may have misunderstood something. One, if -- you said that Russia, the impact there didn't really have any impact on the second quarter. But in the release it said it sort of was one of the rationales for why your European business was down 13%. Was that because of Russia or not, and if it wasn't, what fell in Europe by 13%?
Patrick Williams: Yeah. When you said that, I was about to correct you know on that. There was an impact in Q2, not as significant as we expected but there was an impact in Q2. I think, what Ian was saying, as you’ll see about a similar, if not a pat bit more in Q3, Q4, if the sanctions keep up. But in whole, it's not a significant market amount. It’s $20 million at most. We think, we’ll obviously keep some of that that’s but we will stay within all the sanctions and compliance to make sure that if something happens, we’re staying on top of it. But it's at most, again, Ivan, its $20 million, we did have the effect started in Q2.
Ivan Marcuse - KeyBanc Capital Markets: Got you. And then if you look at Europe, then, what sort of drove, is it just the general economy that drove the reduction in sales in that region or was it something else or time -- shipment timing?
Patrick Williams: Yeah. General economy, a little bit on shipments, general economy as you know a lot of refineries in Europe have shutdown. In Europe because of fact they don’t have a direct crude source and so they are not competitive. And so it’s really what’s happen the year before and a general economy has driven some of that. Now I do think that you will see volumes picked back up in Q3 and Q4 in EMEA. I think there wasn’t shipment delays, I know that we closed some new business that will start shipping in Q3, Q4, but I think you’ll see the quarter that we saw in Q2.
Ivan Marcuse - KeyBanc Capital Markets: Got you. And then, Ian, real fast, on the corporate costs, I missed this. What was the benefit that you got that allowed it to get down to $7.5 million?
Ian Cleminson: Yeah. We have a restructuring provision, Ivan, which we no longer require, so we release that back and that was an $800,000 credit source.
Ivan Marcuse - KeyBanc Capital Markets: Got you. And then, but you expect that that corporate line to be in that $9 million to $11 million range in the back half of the year per quarter?
Ian Cleminson: That’s correct.
Ivan Marcuse - KeyBanc Capital Markets: Why is it going to -- why would it, I guess, if you back in that $800,000, why would it rise a couple million dollars?
Ian Cleminson: Yes. If you back the $800,000 out, that’s actually brought it back to about $9, depending what we are doing in the quarter, depending the sort of things we are up to, the acquisition bit, number of other things, it could bounce around between $9 million and $11 million, that’s what we’re trying to say to you, Ivan here.
Ivan Marcuse - KeyBanc Capital Markets: Got it. So in the corporate costs there wasn't any sort of M&A activity versus the back half? You'd expect some M&A sort of costs and a few other inflationary type of things to rise?
Ian Cleminson: That’s correct.
Ivan Marcuse - KeyBanc Capital Markets: Got it. All right. Thanks.
Operator: Thank you. As there is no further question, I would like to turn back the call to Mr. Patrick Williams.
Patrick Williams: Thank you all for joining us today. And thanks to all of our shareholders and Innospec employees for your interest and support. If you have any further questions about Innospec or matters discussed on this call please give us a call at anytime. We look forward to meeting up with you again in Q3. Thank you.
Operator: Thank you. That will conclude today’s conference call. Thank you for your participation, ladies and gentlemen. You may now disconnect.